Operator: Good morning, ladies and gentlemen. Welcome to Companhia Paranaense de Energia, COPEL Video Conference Call to discuss the results for the fourth quarter and full year 2025. This video conference is being recorded. The replay will be available on the company's website at ri.copel.com. The presentation is also available for download. [Operator Instructions]. Before proceeding, I'd like to stress that forward-looking statements are based on the beliefs and assumptions of COPEL's management and on information currently available to the company. These statements may involve risks and uncertainties as they relate to future events and therefore, should be treated as forecasts dependent on the macroeconomic environment, the country's economic situation, the performance and regulation of the electricity sector in addition to other variables and are therefore subject to change. This video conference is presented by Mr. Daniel Slaviero and Mr. Felipe Gutterres, respectively, CEO and CFO of COPEL as well as general managers and officers of the subsidiaries who will be available for the question-and-answer session. Now I would like to give the floor to the company's CEO, who will begin the presentation. Please, Mr. Slaviero, you may proceed.
Daniel Slaviero: Good morning to all. Thank you all for participating in our video conference call. We ended 2025 with another quarter of consistent operating performance and significant value deliveries for our COPEL. Even in the face of challenging conditions such as a GSF of 67% and curtailment of 34%, we recorded recurring EBITDA of nearly BRL 1.4 billion, up 16% year-on-year in addition to recurring net income of close to BRL 700 million, an increase of 30% year-on-year. These figures reinforce the company's robustness and the maturity of the integrated model even in adverse scenarios. It is worth noting that we recorded a nonrecurring event related to curtailment offsets, which had a positive impact of BRL 266 million on EBITDA and BRL 8 million on financial revenue. In terms of investments, we ended the quarter with CapEx of BRL 768 million, totaling BRL 3.4 billion for the full year, excluding the unbundling of assets with Axia. This amount was directed to network modernization, continuous quality improvement, infrastructure expansion and strengthening operational safety. We also ended the year with leverage of 2.7x, fully in line with our optimal capital structure, preserving financial strength and the ability to sustain our growth plan. Finally, I would like to reinforce a very important pillar in the beginning of the call, which is shareholder remuneration. Adding up the amounts paid in the form of dividend distributions, interest and capital and the Novo Mercado migration premium, we reached a record of BRL 3.8 billion throughout 2025, we can consider an "aggregate payout" of 144% and an equivalent dividend yield of 14%. This reinforces our belief that dividend distribution is also an efficient way to create value. But 2025 was also a year of many, many achievements. We made important advances on several fronts of the company. At our last COPEL Day in November of last year, we presented our strategic plan, Vision 2035 and the multiyear investment plan totaling a record BRL 18 billion over the next 5 years. We also announced the optimal capital structure pursued by the company and the new dividend policy with the highest minimum payout in the sector. We also received prestigious recognition from Standard & Poor's in corporate sustainability. However, I would like to highlight what I consider to be the most significant achievement of the year, i.e., the migration to Novo Mercado. In addition to placing us at the highest level of governance on B3, the migration increases the liquidity of the stock and helps attract new foreign and Brazilian investors to the company. We are already seeing this in practice. This achievement is in the legacy category and goes way beyond a mere change in listing. It reaffirms our strategic commitment to transparency, fairness and sustainable value creation. All these achievements were only possible because we work with clear planning, disciplined execution and an ever-increasing alignment between culture, strategy and results. Looking at the agenda of short-term opportunities, I would like to provide an update on a recurring theme in our conversations with the market, which is the DISCO Tariff Review scheduled to happen in June of 2026. We are on schedule with our activities. And last Tuesday, February 24, we delivered the assessment report to ANEEL. Throughout March, there will be a public consultation where all data will be available. But I can say in advance that once again, we will fulfill the promise we made to the market on COPEL Day. In fact, we expect to slightly exceed the level or the mark of BRL 18.5 billion for the new net remuneration base of COPEL. For us, this review is another concrete opportunity to capture value and recognition for the technical and judicious work we have done over the last few years. Another important front for COPEL is the LRCAP, the Reserve Capacity Auction. Both in Foz do Areia and Segredo, Copel is fully prepared for the auction that will take place on March 18. We already have the installation license issued, a precontract with the EPC contractors and a margin for both projects -- flow margin for both projects. Now the most important thing is to highlight the attributes and the advantages of the water front. First and foremost, it is the cheapest source for the system and will result in lower costs for consumers and consequently for the tariff. Secondly, it is a renewable source and with equipment produced mostly in Brazil, which results in job and revenue creation for the country. Hydroelectric power plants have greater unique operational flexibility. And as they operate synchronously when activated by the ONS, they reach their maximum power in a few seconds in moments when we have our changes, which is expected by ONS in the coming years and the water sources are very strategic and they offer great efficiency at a lower cost. Finally, the 2026 LRCAP will be an auction with high contracting with experts estimating that there will be total amounts to be defined by the Ministry of Mines & Energy for the reasons already listed. We believe that the best thing for the SIN is to have a relevant offer for hydroelectric products for 2030 and 2031. We are convinced that the MME or the Ministry of Mines & Energy is sensitive to this issue. For COPEL, LRCAP is an opportunity to create value. It will drive our strategy, will be one of the levers for the 2035 strategy. Before handing over to Felipe to detail the results and earnings of the quarter, I would like to make a special announcement and express my gratitude to this person on my left. This morning, Rogerio Jorge took office as General Officer of the GenCo, of the Generation and Transmission company, and he is with us on this video conference. He's a professional with over 25 -- almost 30 years of experience in this sector, solid training and a background in several companies. He joins the other members of this management with great challenges ahead. I'd like to welcome you, Rogerio. And a very special recognition goes to our Board of Directors member, Moacir Carlos Bertol, who had already held this position from 2019 to the end of 2024. He went to our Board of Directors, and he has been once again serving on an interim basis for the last 6 months. Bertol, your experience, knowledge of the electricity sector, work ethic in respect for the Brazilian electricity sector over the last few decades are very valuable to us. We will count on your ongoing work at the Board of Directors. Thank you very much. Bertol will be with us for the Q&A session. And Rogerio is also joining us. And now I give the floor to Felipe to detail the results of the call. At the end, all of us will be available for the Q&A session. Thank you very much.
Felipe Gutterres: Thank you, Daniel. Good morning to all. I will begin by highlighting the performance of consolidated recurring EBITDA of the company, which was BRL 1.4 billion in Q4 '25, up 16% compared to Q4 '24. This performance reflects the company's operational resilience and the balanced contribution of its businesses. COPEL DISCO accounted for approximately 54% of the total, while the GenCo and the TradeCo accounted for the remaining 46%. Performance was particularly robust at the GenCo, which grew 24%, supported by the increased incorporation of the Mata de Santa Genebra transmission company and an increase in the APR of transmission companies, which contributed an additional BRL 103 million. In addition, we had a more favorable result in transactions carried out in the short-term market and a significant reduction in the PMSO. In distribution, we saw a 1.8% increase sustained by the annual tariff adjustment and the stability of the built grid market. In the TradeCo, there was a complete reversal of the loss recorded in Q4 '24 with an increase of BRL 18.8 million in recurring EBITDA, driven by an increase of approximately 70% in the volume of bilateral contracts negotiated in the period. It is important to note that nonrecurring effects, especially curtailment results were isolated, allowing for better comparison between periods. Moving on to the slide of COPEL Generation and Transmission, the GeTCo segment posted recurring EBITDA of BRL 654 million, a significant increase of 24% compared to the fourth quarter of 2024. This performance reflects a combination of greater efficiency and sound operational decisions between the periods analyzed. Availability revenue increased by BRL 102.7 million, a result directly linked to the consolidation of Mata de Santa Genebra and the average 2.2% adjustment in APR for the 2025, '26 cycle. On the expense side, we saw significant reduction in manageable costs. The 73% decrease in PMSO influenced by the higher write-off of assets at the GenCo in Q4 '24. In addition, the short-term market contributed significantly, adding BRL 35 million to the bottom line as a result of the efficient modulation of hydroelectric generation during a period of a higher spot market. Sales in bilateral contracts also grew generating an additional effect of BRL 8.4 million in the annual comparison. On the other hand, we faced pressures that cannot be ignored. The cost of purchased energy increased by BRL 104.7 million, reflecting a GSF of 67.4% and an average PLD of BRL 265 million megawatt hour in the quarter and the deviation in wind generation, which resulted in a result by BRL 37 million associated with the impact of curtailment, which rose from 15.7% in Q4 '24 to 34.2% in Q4 '25. Despite these effects, the GenCo ended 2025 with BRL 2.9 billion in recurring EBITDA, an increase of 15% year-on-year, demonstrating resilience and consistent operational execution in a more challenging hydrological scenario. Moving to COPEL DISCO. We recorded a recurring EBITDA of BRL 728.4 million in the fourth quarter, up 1.8% over the same period last year. Although more moderate, this result brings important structural advances. The gross distribution margin grew 8.4%, driven by annual tariff adjustment of 1.3%, a significant increase of BRL 668 million in CVA, higher supply revenue with 663 gigawatt hours settled in the MCP and 0.3% growth in the [indiscernible] grid market. On the other hand, PMSO recorded 31.5% increase equivalent to an additional BRL 127 million, driven by losses in asset decommissioning and higher maintenance volumes and increased operational demands related to cycle building initiatives. When we look only at personnel costs, if we exclude the effect of programs such as PLR, PPD and ILP, we see an 8.1% decrease in Q4 '25 versus Q4 '24. Energy purchased for resale also increased significantly, up BRL 338.5 million, influenced by the expansion of MMGD and the increase in purchases via auctions in CCEE. In 2025, DISCO delivered BRL 2.6 billion in recurring EBITDA, up 5.4% year-on-year. Moving on to the next slide. COPEL TradeCo, while recurring EBITDA was BRL 3.5 million, reversing the loss of BRL 15.4 million recorded in the same quarter of the previous year. This performance was sustained by a 70% growth in the volume traded in bilateral contracts, reaching 3,824 gigawatt hour and by the mitigation of the impacts of intermittent contracts, which have reduced the result by approximately BRL 18 million in Q4 '24. Analyzing the energy balance, hydro and wind assets together, we see exactly what we have always shared with you. In the long term, we operate with a higher level of uncontracted capacity, which gives us the flexibility to capture market opportunities more efficiently. In the short term, looking exclusively at water sources, hydro, our energy availability for 2026 is approximately 20% to 22%, which puts us in a comfortable position in relation to possible impacts from the GSF. Consolidated PMSO totaled BRL 779 million, a reduction of approximately 2% in the quarter, isolating the effect of inflation and variable compensation, the reduction is around 5%. This movement mainly reflects the 16% reduction in personnel expenses, not considering the programs I mentioned, performance bonus, long-term incentives, et cetera, and a 20% reduction in the item other costs and expenses, mainly due to net losses on the decommissioning of assets in Q4 '24. These effects were partially offset in particular by a 14% increase or BRL 42.3 million in third-party services resulting from the intensification of maintenance activities in distribution, which is essential to maintaining the quality and reliability of the network. Moving on to recurring net income. We delivered growth of nearly 30% compared to Q4 '24, driven by a 16.1% increase in EBITDA. In addition, we saw a significant reduction in our tax burden, reflecting the efficient use of IOC concentrated in the last quarter of 2025 as an instrument for tax optimization. On the other hand, increased leverage close to the optimal capital structure target, the rise in CDI, the reduction in the average cash balance year-on-year had a negative impact on the financial result line item. Even in a challenging environment, we delivered solid recurring net income, BRL 683 million in fourth quarter '25, which reinforces the company's ability to continuously create value and maintain its consistent track record of operating and financial efficiency. Consolidated CapEx totaled BRL 768 million in Q4, totaling BRL 3.4 billion in the full year. Of the amount invested in Q4 '25, 84% was allocated to distribution with emphasis on the progress of Parana 3 phase and the smart grid, which surpassed the mark of 2 million smart meters installed. The remaining of the CapEx was basically invested in generation and transmission, of which we focused mainly on modernizing hydroelectric power plants, wind farms and reinforcing and expanding transmission lines, consolidating the reliability and safety of the electricity system. Moving on to the next slide, closing with debt. COPEL ended the year with BRL 20 billion in total debt and BRL 16 billion in net debt. Leverage ended the period at 2.7x, in line with our optimal capital structure. The average nominal cost of debt was equivalent to 87.74% of the CDI, significant improvement over the 98.46% observed at the end of 2024. This evolution is the result of the strategic debt management and the efficiency of the recurring funding process as well as a more favorable market scenario in 2025. We ended the year with an average amortization term of 4.9 years compared to 4.2 years in 2024, maintaining a balanced profile between trends, indexes and market instruments. In a nutshell, we had a quarter marked by operational progress, financial discipline, greater efficiency and recurring growth in virtually all segments. We combined EBITDA expansion, active portfolio management and financial balance, which are fundamental elements for us to continue sustaining robust investments and competitive returns to shareholders. With that, I conclude my presentation, and we now move on to the question-and-answer session. Thank you very much.
Operator: [Operator Instructions] Our first question is from Ms. Maria Carolina Carneiro with Safra.
Maria Carolina Carneiro: I would like to elaborate -- I'd like you to elaborate more on LRCAP. At the beginning of the presentation, you mentioned the 2 projects that you want to include in the competition. And recently, we had the cap price mentioned and some details on the bidding process. Could you elaborate on what you're thinking about the document and the adequacy of the cap price? And how this can change your strategy? We know that Foz do Areia seems to be a project that is kind of more ready to participate in the auction. Is there any visibility of how the cap price will influence your ability to participate? And also Segredo, if you can start with that, we would appreciate it?
Unknown Executive: Thank you, Maria. I think that regarding the strategy and how we are going to position ourselves, I think that we are very close to the auction itself. And we're being very cautious because it's a competitive process, which is very, very strong, considering the hydro companies in these 2 products for 2030, 2031 and for the general context. So in terms of the cap price for the hydros, we believe that it's tight. It's a cap price that is kind of tight for the hydros that have more unique characteristics. In our expectation, some projects in general terms will be very tight with these cap prices because they were in line with what we expected, with what we imagined. As for the cap price for the other sources, I haven't got any elements to give you an opinion. What I can say from what we saw is that the hydro product will be the one with the lowest cost, and this will be the most beneficial for consumers for low tariffs. This has been our advocacy with granting authority with ANEEL. And this, in our view, justifies that we should contract as much as possible for the hydro products. So you mentioned the parameters, the capacities. They are more advanced, but there's always a discussion regarding the supply, the offering, the size of every product. We advocate that we will have the highest offer possible. The ministry is not making this public before the auction. But that's what we advocate given all of the advantages, all of the elements. But in normal conditions of temperature and pressure, we are sure, given the work that COPEL has been doing, not just now, but over the last few years, preparing these 2 projects. As you know, as I said in the presentation, we have the IL, the installation license already authorized. We already have a very in-depth knowledge of these projects. So we see this as a create -- a good opportunity to create value for the company.
Maria Carolina Carneiro: One last question from me. Changing gears to energy balance. We noted a slight evolution in the average sales for the coming years. Other companies in the sector continued placing more contracts, but apparently with a little less liquidity and obviously, with still attractive prices. Could you comment on how the market is behaving given a kind of bullish pressure that we saw in the end of the year -- in the beginning of this year?
Daniel Slaviero: Rodolfo, perhaps you can give us the context, and then I will complement Felipe Gutterres as well can add.
Rodolfo Lima: Perfect. Good morning. [indiscernible] tough contracting in a more accelerated pace is a strategic view more than a liquidity issue. Even with high prices, we still have a lot of liquidity for the next 5 years. So this is much more strategic decision to decelerate given this increase that we see in this humid period rather than a difficulty in executing the strategy. So this doesn't entail lack of liquidity in the 2 products. This was the company's option to hold on to this power for some time longer.
Daniel Slaviero: [Carol] and everyone, this is in line with our review. The prices we're seeing today are a reflection of the circumstance. We still see a gap with the prices generated and operated by the sector. In other words, there is an expectation of structural higher prices in the coming years. And in our view, this volatility, which is ever present in the last few months is a trend that is maintained. So our view is to keep more energy when we have [A+1] during the current year because as you have seen, even in liquidations of the spot price in a very, very short term, this was the case in February and January. This is very advantageous for the company. So as Rodolfo mentioned, this is kind of our strategy. We want to take advantage of this volatility. For this, we need to have more short-term trading possibilities. So we are very comfortable, very at ease that this is a strategy that will generate more value for the company. And to end, I think that this is a beauty, and we've been saying this for a while. This is the beauty of an integrated company. When we have a robust and solid arm as was the DISCO with an EBITDA of almost BRL 800 million in generation and transmission. In transmission, we have an APR that is very high in the year. We have comfort. We have the right elements to be able to better enjoy the opportunities that arise from this price volatility.
Operator: [Operator Instructions] Next question from Mr. [indiscernible], an investor.
Unknown Attendee: I'd like to congratulate you on the excellent work. I'd like to know whether COPEL is considering paying dividends in installments with the amount to be distributed over 3 months. For example, as ISA ENERGIA does to help shareholders not pay the income tax of 10% when they receive more than BRL 50,000 from the same company in the same month.
Daniel Slaviero: Felipe?
Felipe Gutterres: As part of our policy, we have a minimum policy of paying twice a year, which gives us flexibility to consider payments with different intervals, perhaps more than 2x. So this has not been defined. But yes, we can consider that considering the cash flow of the company and dividend declarations.
Daniel Slaviero: Well, thank you for your concern. It is a legitimate one, particularly considering the new context of taxes leverage on income over BRL 50,000. Well, it is not in our short-term plans to have quarterly payments. I think that the policy is very robust with at least 2 dividend payouts. If there are extraordinary events, we can reassess that. That would be the frequency. And our company likes to be predictable. I think that this is one of COPEL's characteristics. You see this in our quarterly earnings. And there is little variability between market expectations, what we report and operational data. And I think that this is all about predictability. And this is one of the greatest outputs of our capital structure and our dividend policy. And this is for individual investors like ourselves and for the big investment funds. Everyone wants to have a COPEL that is very consistent, operational, excellent and predictable.
Operator: Next question from Bruno Amorim with Goldman Sachs.
Bruno Amorim: Congratulations on the deliveries over the last few years. I have a follow-up question regarding capital allocation. I think that your position is clear regarding LRCAP, the Capacity Reserve Auction. It would be interesting if you could comment on other priority areas. Would you consider M&As in distribution, in the area of distribution outside Parana state? Anything you're considering? And a follow-up question regarding the discussion of power prices. Perhaps a question to Rodolfo.
Unknown Executive: I understand that from the structural standpoint, there's still a constructive view for the coming years. On the other hand, we're living a year of weaker hydrology. In parallel with this more positive structural dynamics, there's also a higher price than what would be sustainable given everything else constant because the hydrology is favorable for the price of energy. My provocation is, wouldn't it make sense in such a moment to take more advantage of this moment because it's very hard to predict rainfall in the coming years. I think we should assume a more normal rainfall in the coming years, it's the best we can say.
Bruno Amorim: So how are you thinking about the cyclical versus the structural because I tend to agree, it's positive?
Unknown Executive: Excellent, Bruno. Well, let's talk about capital allocation first, and then Rodolfo can complement talking about power prices and trading strategy because we don't want to put all of the eggs in the same basket, of course. We always try to have attractive average prices. But Bruno, I think that for starters, our planning has shown that we are agnostic with the segments as long as they are in hydroelectric, electricity, generation, transmission, distribution and trading of energy. So in these 4 segments, our view is agnostic. And we are always paying attention to the opportunities. Today, we didn't learn about any opportunities in the distribution market. If that opportunity arises, we will. Of course, we are diligent. We will look into that and consider that. It doesn't mean we will go forward with it. But after the LRCAP auction, after the third wave of structuring measures that started in 2024, 2025 and are ending and all of the transformational changes we implemented for the next cycles in the 2035 view, it became clear that we intend to assess the opportunities and grow in these 4 segments as opportunities arise, and it is our diligent duty to consider them, but always being very disciplined in capital allocation, which is the essence of your question. We have to be very cautious and careful about these opportunities because capital allocation can destroy value. And we have seen consistency in the deliveries by COPEL and our actions in our TSR. And all of us, shareholders and employees of the company are committed to create sustainable value. This is an agenda, this is a topic that will be in our agenda in the coming years. Rodolfo?
Rodolfo Lima: Speaking about the long-term price view, we maintain what we presented at COPEL Day -- on COPEL Day. There are scenarios that may vary a little, but we really believe in this increasing trend. That's number one. Number two, speaking about the strategy, how do we have a mix between short term and long term in the effects of hydrology? I think that a very important point that we saw over 2025 and in 2026 as well is the dissociation between short term and long term. This is very common in the past, and we saw a lot of price volatility in the short-term prices, not impacting so much the long term. So that's the first point. We see kind of stability, prices kind of converging to the long-term view. We haven't gotten there yet. But short-term volatility is not impacting the long term so much. And speaking about the short term, the most relevant is the strategy of contracting at the beginning of the year. The first big premise is not to be short because as you put it yourself, volatility is great, and the strategy has proven to be very resilient. Q4 was very strict about GSF, and we continue to perform. Even with the rainfall taking longer to happen, we still captured price increases. In terms of contracting, we have a very dynamic analysis always done by Felipe's team, balancing EBITDA and risk. These price windows in the short term may impact the long term a little bit. So we combine this with volatility in EBITDA. So we have an optimal strategy of how much we want to be contracted and at what price. The idea is to pros that with the market. It's a living process. Every month, we sit together to assess what the next steps should be and the pace, always trying to balance well these 2 worlds.
Operator: Next question came in writing by Mr. Thiago Borges, an investor. He says, congrats on the results. I would like to learn more about how you're seeing energy prices for 2026 and how COPEL can benefit from this scenario?
Unknown Executive: Thiago, I think that Rodolfo kind of touched on that. 2026 prices are way above the historical average. So considering the strategy, I think that the first step is always, as Rodolfo mentioned, not to be short. You saw in the aggregate chart. But when we look specifically at the hydro product where we have more than 85% of our power, we are at 20% to 22% to be able to face the more challenging moments of the sector. And I think that this is the first big message. We want to be long and to be long over the year 2026. There might be a month when we are not long, but in the aggregate for the year will be long. And this puts us in a very advantageous position compared to the rest of the market. And it is what Rodolfo said. There are moments when we have a price that we see as a long-term structural price. Of course, there are many elements impacting that, the marginal cost of expansion, other factors that make up the foundation of our long-term price formation. And as we get close to that or exceed that, we will have phased sales in batches so that we can achieve average prices. What we saw 2, 3 years ago in the market, we had an outlook that the prices in the long term would be close to BRL 140, BRL 150. Today, no one talks about a long-term price below BRL 200 because that's the reality. And this is for companies with our generation profile. This is an opportunity for us, but it leads us to evolve as the facts unfold. And to -- we had prices above BRL 250 in February. And to us, this was good news.
Operator: [Operator Instructions] The Q&A session is now closed. We would like to turn the floor back to Mr. Daniel Slaviero for his final statements.
Daniel Slaviero: We are in a very positive phase for COPEL. I think that our consistent deliveries, as we have mentioned here, consistent disciplined deliveries matched with value creation and coupled with a clear strategy and plan communicated to the market. This is one of our main virtues. I would like to end this video conference call by thanking all COPELians who contributed to these extraordinary results. I would like to thank the management, the Vice Presidents, the officers and the whole team for the exceptional work they did. And I would like to reinforce our commitment of excellent deliveries and operation of our assets providing better and better service to our customers. In 2025, we ended with some of the best quality indicators in the recent history of COPEL. And above all, discipline and a very robust analysis in any capital allocation. And we're seeing very, very positive and unique opportunities in COPEL's trajectory. Thank you very much. Have a great day. Have a great day to all.
Operator: COPEL's video conference call is now coming to an end. Thank you very much, and have a great day. [Statements in English on this transcript were spoken by an interpreter present on the live call.]